Alberto Nicola Nagel: Good morning, and thank you for joining the call on the full year results. On many metrics, this year is the best of our history, and this is backed by a stronger commercial achievement foster by a stronger franchise, which is basically the trajectory we have in our plan to have a stronger industrial footprint at the end of the previous plan. In fact, this year, we have had EUR 11 billion of net new money, which is plus 30% year-on-year. We have had an increase of 8% in average loan in CIB, up to EUR 1 billion. And we have further increase our outstanding capacity in printing new loans in Consumer Finance. You remember that our average trajectory was of EUR 2 billion per quarters. We have reached EUR 9 billion in a year, plus 9%. This resulted in a strong double-digit growing fees trajectory which exceeded that EUR 1 billion and is up 14% and a very resilient NII backed by strong corporate -- Consumer Finance trend of up 9%. We have had also a lower COR compared to our expectation. We had forecasted a budget of 50, 55 basis points of cost of risk, we ended up at 44. This reverted into a net profit up 4% and EPS up 7% on the back of buyback, which has been concluded and basically very strong capital generation, 270 basis points which allowed us to increase our dividend. And so the last tranche of the interim dividend is EUR 0.59 per share is going to be payable next November and brings the total dividend at EUR 1.15 per share, up 7% year-on-year. We have also approved the last tranche of buyback, which would be up to the shareholder meeting of October and is of EUR 400 million. The solid progression continued also in the last quarters where we have had basically a record net new money of EUR 3.8 billion. Which then, of course, allowed us to reach EUR 11 billion. And we have had a resilient NII. This quarter saw a further decrease in CoR. So we had a COR of 35 basis points. And hence, we could end up with a higher net profit compared to the previous quarter. We have been growing steadily. If you see on Slide 5, we have brought our TFA to 112. This is an increase -- an average increase of 13% in the last 2 years. And if we stick to the AUM/AUR, this increase has been 17%. On the asset side, we have been growing loans by 2% in the last 2 years, but we have managed to decrease the RWA by 5%. So it's a very profitable growth where we put much more attention on use of RWA and so we have increase substantial return on RWA. So basically, revenue went up to EUR 3.7 billion with an average growth of 6% in the next -- in the last 2 years. The GOP, Gross Operating Profit, as well grew 8%. And as I said, the return on risk-weighted assets was brought to 2.9% which is steadily above the starting point of the plan where we were at 2.4%. Cost income remain broadly in line at 43%. So this is not happening by chance. It's happening basically following a precise trajectory. If you see on Slide 7, our EPS is -- kept on growing steadily by 16% average in the next -- in the last 4 years as well as the DPS, which is up 15%. ROTE is in the region of 14% with an ample buffer of capital, as you see here in Slide 7. So this trajectory paves the way to the next phase of our industrial plan. We are going to lead our bank to EUR 4.4 billion of revenue in 3 years, up 6%. Our recurring EPS will go up to 2.1%, so basically 8% recurring and we will have a steeper increase in DPS because, as you know, we have been changing our distribution policy moving from 70% cash and 30% buyback to full cash dividend next year, starting from next year. So we will have a very important increase in dividend per share starting from next year, on top of the important increase of 16% that we have recorded in the last too. So this means that we will distribute EUR 5 billion in the next 3 years. And our ROTE, ordinary ROTE will stand at 17%, while enjoying still a very important Tier 1 capital of 15%, 15.5% and here, we are going to have a lower CoR Tier 1, but issuing more additional Tier 1 capital, we will reach 15.5%. So an optimization of our capital structure. So revenue went up in the last years 6% capital light and 3% overall. If we look at the different business, we grew all the business, the banking business, in particular, revenue in Wealth Management went up 5%, 16% in CIB and 7% in Consumer. Insurance were -- was broadly in line to the previous one, net of some nonrecurring items. Stability of NII is an important differentiation element in our equity story. This is foster by basically consumer and more recently by a recovery in loan production in CIB. You see that in the last quarters, our NII was broadly flat on the back of the strength of new loan production and marginality in consumer and new loan production in CIB. This is something that we will see even in the next few quarters. as we'll see a nice trajectory in fees. This year, we have had, I would say, 2 major components as in the past of growth. One is Wealth Management. We have reached more than EUR 500 million of fees in Wealth Management. So definitely higher than all the other components. This is on the back of a 13% increase with management fees steadily increasing driven by AUM growth and upfront fees supported by structured product sales and activity in IB. As you know, performance fees are very limited in our group. CID had a remarkable performance, up 20% on the back of basically Arma consolidation, which recorded very good results and also on the strength -- on the back of the strength of the Italian advisory activity. The Consumer Finance are broadly flat compared to last year. We have had also an intense funding activity with important increase both in bonds and in deposits. We have been also managing down the bond stock spread. We were at 128. We are now at 122 as well as we are guiding down the cost of deposits to -- from 1.84 to 1.64. Cost inflation or cost increase is driven by basically ongoing investment in business enhancing factor. So business-related growth it's made up by EUR 46 million additional costs, which include platform growth. Headcount was up by 90 people, increase in volume and product diversification and rebranding cost. Then we have had a further additional EUR 12 million in technology and project and then we have had EUR 10 million in inflation and other assets. Cost income remains at 43%. CoR. CoR, here, we have had better results than expected and also very limited user overlay. So what happened was that on the back of the new PD model and the -- what is related to also scenario, I would say, forecast in terms of expected credit loss we have had 2 very good quarters, 139 basis points of cost of risk and the last [ 135. ] So this led to an overall 44% and which is more important is basically that this happened with a very limited use of overlay. So we started overlay with an overlay basket of 222 and basically, we have used only EUR 30 million or less than EUR 30 million in 1 year. We have also incorporated a stricter definition of default, including some forborne and UTP with less than 90 days past due. So we reclassified them into NPL. Of course, these are of excellent quality. And so basically, we are -- notwithstanding this, we remain broadly flat at 2% gross NP ratio and broadly flat at 0.9% in net NPL ratio. So solid capital generation. So we have generated 280 basis points of capital. Then there was a minor inflation of RWA and then -- sorry, optimization of RWA. Then we have had 50 basis points of additional charge from insurance and then, of course, distribution and dividend 190 and share buyback by 90 basis points, the last 1 of 400. Which we have already upfront in the ratio of -- at the end of this year. We have further upgraded our ESG profile. Now if you look at ratings that we have achieved this year are among the highest from some of the most important agency. We have continued to reduce emissions to finance the -- the finance emission intensity by 18%. We have done a significant activity in DCM and also we have done also important steps in the social, I would say, camp with basically renewing our partnership with [ UNHCR ] to support child protection program in terms of gender quality and certification and in terms of supporting macro enterprises and women-led business. If we look at divisional results, we see that both in terms of revenue and in terms of GOP and in terms of profit, we have seen a steady progression. So a remarkable progression of Wealth Management, Corporate Investment Banking And Consumer Finance increasing all of them return on risk-weighted assets. If we go and see the first division, the Wealth Management I mean the -- of course, the outstanding numbers are the net new money, EUR 11 billion. This is well above our expectation and target. We target between EUR 9 billion and EUR 10 billion and we have had also EUR 1.5 billion of outflows in private, which is linked to the uncertainty stemming from the MPS offer, notwithstanding the strength of the franchise and the activity of my colleagues made it possible even to exceed the target of net new money. This led to material growth in TFA. And as you see, we have had a very strong equipment. So this year, we have had basically 157 new hires in -- mainly in, of course, in selling activity salespeople divided between bankers, but more in financial adviser. And we have had -- out of this 40 were added in the last quarter. Deposits materially up by 2.5% on the back also some campaign to convert them into managed assets. So revenue were up 5% with fees up 13%. Here we have had an impact in NII because there is -- you may remember that 1 of our subsidiary, in particular, the [indiscernible] has distributed an extra dividend. So net-net, basically, the revenue were up more than 5%, but there is part of the excess capital that has been distributed and hence, less NII was produced because of lower capital base. So if we look at our trajectory, which is more important that the single year of results is that you see on Page 25, Wealth Management is our main growth option. We need to scale it up and become a leader, and we want to do it our way. So basically using our brand approach, 1 brand, 1 culture, which is really producing excellent results. So if we see in 2 years, Private Banking has had a net new money of EUR 8 billion, EUR 2 billion of liquidity events, a number of flagship initiative with top-tier partners and CNA introduce last year or this year, CNA is a new generation of discretionary mandates, which have more flexibility, better fiscal impact. We think that with these features, private banking will continue to grow in the next few years steadily as well, we'll do Premier Banking, which is having very, very important results. In particular, they had EUR 8.3 billion of net new money. But this year, they were clearly the champion in the group in terms of net new money and in terms of commercial results. This is on the back of our repositioning. You remember this was CheBanca! is now Mediobanca Premier. We have then really put this entity into the ecosystem of Mediobanca. And this is now giving the expected results, and I would say, even above expectations. So we will continue with this. But also, we need to underline also asset management performance, in particular in Polus which is a product company having great quality in terms of offer products and in terms of attracting partnership and developing net new money. So basically, in the last 2 years, we have had plus EUR 1 billion in new credit alternative funds, and we have placed a number of CLO both in Europe and in the U.S. So net new money this quarter was very, very high, EUR 3.8 billion. So never achieved such big amounts. This is spread between AUM, EUR 1.5 billion; AUR, EUR 8.8 million and important deposits because -- intake because of also promo campaign we launched this quarter. Clearly, going up in terms of AUM, in particular, means that we are growing Wealth Management fee at double digit. You see this on Page 27, in particularly the management franchise fee is going up 14%. All fees are going up 13% and basically, you see that are growing in terms of capacity. We are growing steadily as Wealth Management operator in terms of ability to grow and generate net new money year-by-year. The numbers here are showing, as I said, plus 11% net profit, notwithstanding, as I said, the net interest income decrease of 5%, which was affected by non-recurrent item, which was the distribution of part of the excess capital from company [indiscernible] to the parent company. CIB was as well very strong. We have reached highest ever 12 months revenue, roughly EUR 900 million, up 16% year-on-year. Here, we have had a very strong push by fees up 20% and also an increase in NII up 7%. We have resume corporate lending new printing. So you see that we have reached EUR 19.2 billion in Q4, and we were up more than EUR 1 billion in the year. This is supporting NII, which up 6% Q-on-Q. And if you see the fee, we have had an important advisory contribution. Advisory fees reached an all-time high this year, EUR 300 million. Only a few years ago, I have to remind the group was producing EUR 100 million fee in advisory, mainly in Italy. Now we are at EUR 300 million mainly non-Italian. This growth, in particular, in CIB has to be and is coupled with more efficiency in terms of capital use. In fact, RWA are down this year EUR 1.6 billion. And so in less than 3 years, we have materially reduced the capital injection in CIB, increasing the bottom line. In fact, the net profit and return on risk-weighted assets are close to the highest level. What's the trajectory of CIB in the plan. So we want to have, as I said, a fee-driven capital-line more international and diversified investment bank. We have to have a growth match with the strong RWA reduction and we need also to leverage the new initiative to expand and to diversify the revenue source. So the delivery across the business being in advisory, as I said now we have 50% of the transactions are international and private capital is 84% of the total. We have had an increase net of Arma, so peer-to-peer comparison of 15% in terms of announced transaction. In lending, revenue stability was obtained through a higher volume and also fostered by the new PD model. Markets, we continue to enjoy growth and better profitability on the back of new initiatives like BTP, CO2 trading, and we are entering a new asset class in terms of trading, which will give us more revenue. Clearly, we have had a great success in partnering with Arma. Arma deliver a very, very important revenue line, well above our expectation and this is an evidence of the quality of the franchise or the quality of the partnership and the fact that Tech/Digital, of course, is a trend which is going to stay. Of course, we can have a better quarter or less better quarter, but I mean the trend is there to stay. Energy Transition as well was very strong as well was Private Capital. Cooperation between private banking and CIB was more robust, and we start to see the first sign of revenue production in Germany and Spain, where we have started our mid-corporate activity. So if we go and look at the numbers of CIB, as I said, total income up 16%, cost up 8% on the back of consolidation. Loan loss provision minus 18%. And hence, we have had a GOP risk-adjusted of plus 24%. Then some item -- nonrecurrent item like adjustment in earnout of some of our boutique based on their excellent performance led to a net profit of up 11%. When we look at Compass, we see that Compass was able to improve its outstanding plan even this year. We have had quite a robust new business loan -- new loan business. We have produced EUR 9 billion in the last quarter. We have had EUR 2.4 million, another very strong quarter, which normally is not a strong seasonal, in terms of seasonality. This also is fueled by a very solid new personal loan progression. New personnel EUR 4.3 billion that were at EUR 3.9 billion, up 10% this led to an important loan book growth. Loan book now is at EUR 16.1 billion. So we are entering in the new fiscal year. We have entered the new fiscal with a bigger loan book and this is important also for the trajectory in the coming quarters. CoR was stable over late trend, as I said, were minor -- with minor use. So we have had 170 basis points and growing risk-adjusted profitability. So in 1 year, we have managed to increase by basically some 18 basis points the profitability, NII minus CoR on average loan. So this reverted into clearly record results plus 10% in terms of revenue, plus 7% in terms of net profitability. The trajectory of Compass is to become even a stronger multichannel consumer finance company. This is going to be obtained as it has been obtained in the last few years both investing in some proprietary distribution network enhancement at variable cost, but also investing a lot in the digital platform. Our digital investment I shouldn't say are nearly done because they are never done, but we are quite advanced in terms of we have released the new digital I would say, ecosystem. We are going to increase our investment to support buy now, pay later, which requires a continuous service 24/7 and this is basically giving us a lot of support and, I would say, expectation in terms of NII driver. But with a very strict control on cost and asset quality. Of course, buy now, pay later has become and will become even more a very powerful instrument for new customer acquisition. So trend are -- again, if you look at Slide 38, you see how stronger is Compass compared to the previous year. We were producing basically EUR 1.92 billion. We are now EUR 2.4 billion every quarter and this is backed by a strong pricing capability, as you can see on Slide 38. As I said, we have reclassified some portion like EUR 110 million of higher quality loans into NPLs in the fourth quarter. So you see that the mix at June '25 in terms of net NPLs, it's of better quality because the vast majority, 87% is with an overdue of less than 90 days. So this means credit that have a good probability to be recovered. While in the meantime, we continue to write off NPLs and to sell them to maintain our net NPL stock in consumer in the region of 2.2%. Insurance has been giving a very good support, net of some extraordinary item of last year while, of course, holding function bear the cost of interest rate decrease. So have had, of course, as expected, lower contribution compared to last year. What do we expect for next year? We expect another year of important growth in a tougher scenario. The scenario is the scenario of lower growth in terms of expected GDP growth in Europe. We have still this turbulence of tariff impact. Notwithstanding this, I think we need to -- and we will continue to put a lot of emphasis on growth in terms of Wealth Management with the important recruitment target, we plan to add more than 100 salespeople mainly at variable costs, mainly financial adviser. And we want also to continue our offering enhancement. CIB, as you know, the market has had a slowdown in the last couple of quarters, we think that the slowdown, we -- may be somehow eased and we see some sign of recovery. In the meantime, we are also basically addressing this with new initiatives, as I said, the international mid-market than new market products. In Consumer Finance, we will continue the buy now, pay later expansion. Also thanks to our Swiss footprint and strict control on COR, we expect also high single-digit growth in insurance. So the guidance is to arrive to EUR 123 billion, EUR 125 billion of net new money of TFA with EUR 10 billion of net new money. We plan to have a low mid-single-digit increase in revenue even this year. We plan to have a high single-digit growth in fees, in particular boosted by Wealth Management. We see basically similar trend in CIB, a touch less if we are prudent, take into consider the record results of Arma. Resilient NII, which is going to be boosted by, as we said, Consumer Finance. And basically, for the time being, we are reiterating CoR at 55. We are -- I'm hoping like last year that this number can be beaten as we did this year. So we are forecasting EUR 1.4 billion profit with CoR Tier 1 in excess of the region of [14.5 ] and all distributed in cash. This is on the back of or preparing or executing our plan to 2028, where we will see, as I said, the revenue at EUR 4.4 billion with a current EPS 9% growth and EPS stated at 14%. And as we can see on Page 46. This is something like 30% total yield ahead, divided into 9% in '26, 10% in '27 and 11% in '28. If we look at what we have done at least in the last 10 years, we see that across the different business plan, we were able to not only deliver, over deliver, and this has been somehow incorporated in the performance of our stock. In particular, Mediobanca, in the last 10 years has had something like [ 177 ] return and a total shareholder return in the region 3.50. And this is well above any other competitors in Europe or other competitors and notably, of course, [indiscernible], which had a totally different trend in the last 10 years. This is why we think that sticking to our stand-alone trajectory, which can be particularly fueled and improved by Banca Generali transaction. And on this, we have done some step ahead sending a proposal to stabilize and to renew the agreement, existing agreement between Generali -- Banca Generali to Generali recently. And also, our Board based on this as, I would say, thought about 21st of August as possible date for the our AGM on Banca Generali. So we are very much focused on delivering on our strategy having important increase ahead in terms of dividend distribution, so 10% without any risk of execution like a big M&A like Monte Paschi. And on top, we have this option of transforming Mediobanca into a bigger, stronger Wealth Management with Banca Generali and we are doing a step ahead to make this possible and something that all our shareholders can decide what to do in the next few weeks. Thank you very much for your attention. Now it's your time for questions.
Operator: [Operator Instructions] And the questions come from the line of Manuela Meroni from Intesa Sanpaolo.
Manuela Meroni: So the first 1 is on Banca Generali. You mentioned the possibility to brought forward the shareholders' meeting to the 21st of August. I'm wondering if you actually think that this timeline is feasible. If it is possible to launch the offer on Banca Generali before the conclusion of the bid of Monte Paschi and if you could provide us some update on the status of the negotiation with Generali regarding the distribution agreement involved in Banca Generali. The second question is on the cost of risk. You guided for cost of risk at 55 basis points next year, including the release of half of your orderly provisions, this imply a material increase of the cost of risk compared with this year. Do you see some sign of deterioration of the asset quality? Or this is just a prudent assumption and there is some upside potential on your guidance? And third question is on your comment with Tier 1. You -- I'm wondering if you can, let's say, disclose some, let's say, trends in your comment with Tier 1, what are the moving parts to grow at above 14%. If you are expecting some regulatory or model changes that might impact your capital? And finally, you mentioned that you're going to issue some [indiscernible], so if you can provide some details on that.
Alberto Nicola Nagel: Thank you, Manuela. On the first question, the date of the 21st of August is based on a number of, I would say, concurring factor. I would say the first 1 is that time line of authorization from the competent authority is now envisaged at 18th -- on the 8th of August. This means that it's likely the last authorization to publish our offer document by consume will be within 5 days from the teams. And so hence, we need to have our shareholder meeting before concept decision. Looking at the calendar, the 21 is the possible date. The second element is that we have made some progress in understanding the possible agreement between us and Generali Group. This is based on the review of the existing agreement, which we received from Generali. And basically, we arrive to the conclusion that a feasible starting point of negotiation is the consolidation of existing agreements, all existing agreements and giving to all of them a maturity term of -- longer term compared to the actual month. So we think that something like 10 years of maturity can be something which is market standard. So what we do expect is to have a feedback from the insurance group within the sixth of August so that we can call the AGM of the 21 because, as you know, we need 15 days. We need to call the AGM 15 days before the new date. This is based on the rule of the passivity rule. So if all this happened to come to your point, our offer can be in the market before the end of the offer of Monte Paschi. This depends on the calendar we will set and also we will discuss with [indiscernible], but this can happen depending on a number of factors that I mentioned to you. Quarter basically, as you know, we have a -- we have already in the plan, which we released some weeks ago, we have guided for a normalization of the industrial CoR of Consumer Finance. So the CoR of Consumer Finance was in the region of 115 in '23. It went up to 280 in '24. And today, net of overlays is 194. Now this is [indiscernible] because, of course, what we have to see is the industrial trend. What we have guided is for an increase of basically 10 basis points in consumer from this year to next year. Now if this going to happen. It's a matter of prudence. We haven't seen deterioration. On the contrary, we have seen a better-than- expected quality in CoR but for a matter of prudence and for a matter of mix, which is more action to personal loan, we are forecasting basically 10 basis points of CoR. We have to say that, as you know, Manuela, this kind of loan, personal loan, net of increased CoR, they will more. So basically, as we said, Compass will continue to improve its bottom line, notwithstanding a higher court. Overall, CoR of this year, net of the release of, as I said, PD impact is 50 basis points. So if we go from 50% to 55%, it's something that is, I would say, reasonable. In capital ratio, now w don't have basically any regulatory headwind coming, no? What we have -- we are saying is that, okay, we started from a capital base, which is very ample. And in terms of structure of this capital, it has to be -- it can be improved because we have only, I would say, CoR Tier 1 today, we don't have Tier 1. So what we can do is maintaining a Tier 1, which is in 11 of 15 but press on with the more distribution in cash. And this is going to bring our capital ratio in the region of 14.5 with an ample buffer to do even some M&A because with the 14.5, we are well above our possible target of 15.5. But as I said, this change in ratio is not standing. It's not coming from headwinds. It's coming from more distribution and more growth of the group.
Operator: [Operator Instructions] And the next question comes from the line of [indiscernible].
Unidentified Analyst: I have 2, please. The first 1 is a bit more clarification on the 2026 net income guidance. If I remember well on the Q2 presentation, you guided net profit to be about EUR 1.4 billion. Now you seem to guide around EUR 1.4 billion. So I just wanted to confirm what led to this small tweak downwards in the guidance, on whether the new guidance is relatively conservative with further upside? And then my second question is on the Banca Generali deal. If we assume that Generali accepts the combination and Mediobanca shareholders approved the offer in August, can you comment whether this makes the Banca Generali offer legally binding, meaning that Monte Paschi cannot back out even if they achieve control of any Mediobanca shareholder meeting later in September.
Alberto Nicola Nagel: Yes. NII, there is a small difference, I think, it's something like EUR 30 million, EUR 40 million which I think was a matter of prudence for 2 reasons. One, of course, rates that are lower than expected. But I would say 2 other reasons of prudence, which can over time be reversed. One is cost, cost of funding in particular, in private banking, somehow not that much, but also in Premier Banking, it's higher than expected. This is in part coming also from uncertainty from Monte Paschi. And I think as soon as we have a different trajectory, stand- alone or Banca Generali, I think we can lower this cost. The second is honestly, I think Compass would do better in terms of NII. So we are confident to basically improve this guidance during the year. When I look to Banca Generali, the situation is interesting. We have been doing a number of transactions in our professional life. And it's nice that we have always something to learn and something -- new situation. So in fact, we will be on 1 hand, under a takeover and as a bidder in the same time. So it has to be basically legally reviewed. But once the offer is published and most of the condition, the condition of the offer met this is legally binding. So this is something that cannot be withdrawn at the wheel of the bidder. So in other words, if the offer is in the market in September, and we have the conclusion of Monte Paschi offer and we have then the conclusion of Banca Generali offer. Still, we need to check legally all the implications. But as we know, once the offer is on, is irrevocable, the offer is irrevocable. And if the conditions are met we will need, of course, to exchange our Generali shares, and we will need to basically to get the Banca Generali tender share. Of course, if they are above the condition of 51 plus, which is 1 of the condition of our offer. And this is regardless that Mediobanca is basically standalone or this part of Monte Paschi Group.
Operator: [Operator Instructions] We have no further questions at this time. I will now hand back to you, Mr. Nagel for closing remarks.
Alberto Nicola Nagel: Thank you very much for you attending the call, and we hope to have you all in the next one in October. And thank you very much, and see you soon. Bye.